Operator: Greetings, and welcome to the Plug Power 2012 Second Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Cathy Yudzevich, Manager of Investor Relations for Plug Power. Thank you, miss, you may begin.
Cathy Yudzevich: Good morning. Thank you for joining Plug Power to discuss our second quarter results for 2012. Andy Marsh, CEO; and Gerry Anderson, CFO, will be on this call today. This call will also be archived on our website at plugpower.com in the Investor section under Presentations. This conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to, expectations regarding revenues and product orders for 2012. These statements are based on current expectations that are subject to certain assumptions, risks and uncertainties, any of which are difficult to predict, are beyond our control and that may cause our actual results to differ materially from the expectations in our forward-looking statements. We encourage our listeners to refer to our SEC filings for a complete recital of our Safe Harbor statement, as well as other risks and uncertainties discussed under Item 1A Risk Factors in our Annual Report on Form 10-K for the fiscal year ended December 31, 2011, filed with the Securities and Exchange Commission on March 30, 2012. Plug Power does not intend to, and undertakes no duty to update any forward-looking statements as a result of new information or future events. At this time, it is my pleasure to turn the call over to Andy Marsh.
Andrew Marsh: Thank you, Cathy. Good morning, everyone, and thank you for joining our call. The good news today is that deployments of our GenDrive systems for the material handling market continued to accelerate. In the second quarter, Plug Power shipped 388 units compared to 73 units in the second quarter of 2011. This is an increase of 432%. Products were shipped to customers including Sysco for deployment in their new Boston and Long Island distribution centers, BMW, WinCo, Mercedes, P&G Alexandria and Wal-Mart, Cornwall. The recently announced order from Mercedes was received in early April 2012, and all 72 units were installed and operational by early July. This is the quickest cycle time between receiving an order and deployment at a site requiring new hydrogen fueling stations. Air Products was able to complete this task in under 90 days, an effort that historically is required from 9 to 12 months. We believe this bodes well for this -- for the future, and our continuing efforts to decrease the cycle time from orders to shipment. The Mercedes site is also the first site that is exclusively using Plug's next-generation products, based on our new low and high-power platforms. Other significant deployments in the second quarter included Sysco Boston, a new distribution center using 185 Plug Power fuel cells; and Sysco Long Island, another new distribution center, using 67 Plug Power GenDrive units. Also during the quarter, BMW continued to expand their fleet at their facility in Spartanburg, South Carolina. Thus far in 2012, Plug has delivered 60 units, bringing BMW's total fleet to 161 units as of June 30, 2012, and have another 79 units still to be delivered by year's end. P&G's site in Greensboro, with 129 units, was also now online as is the P&G site in Oxnard, California where 47 units were deployed. Newark Farmers Market, a leader in wholesale distribution of fruits and vegetables in Northern -- Northeastern United States, serving partners such as the Shop Right grocery chain, deployed 96 units at their New Jersey facility. Additionally, we're in the process of shipping and installing 254 units for the Walmart facility at Washington Court House, Ohio. We continue to be the leader in deploying PEM fuel cells under 25 kilowatts, with over 2,800 units in the field having 8 million hours of operation. An indicator of our success in the industry is that in the United States, 19 out of every 20 hydrogen fuelings, fills a Plug Power fuel cell. Another highlight is that all the units currently being shipped are using the next-generation platform for our low and high-power products. The cost of these platforms reduces the variable cost for the product by up to 30%. Most of the savings come from a reduction in material cost. Material cost is the largest contributor to our product cost, representing over 80% of the total variable cost of a unit. By the fourth quarter, we expect the ratio of material cost to product price will be approximately 65%, and will, we believe, reduce to below 60% in 2013. This is one of the keys to our path to profitability. In the second quarter, Plug Power achieved positive gross margins for product shipments, if one dismisses holdbacks due to 1603. As we have discussed previously, the 1603 holdback revenue will be recognized in later quarters in 2012 with no cost of sales. The ability to achieve positive product gross margins show that the product cost reduction and scale production were having the expected impact on margins. As we've discussed over the past 2 years -- the past year, the 2 key elements for Plug Power to achieve profitability are product shipments and material costs. Our material cost structure for the new platform will allow us to reach profitability between $70 million to $80 million in annual revenue, which is in line with our previous projection. Our primary challenge this year has been increasing product orders to achieve our revenue goals. In this area, the company has had some challenges, achieving $9.2 million in orders. Why has it been so slow? Number one, the primary reason has been the speed of deployments. For some of our large customers, the time between orders and found deployments took over 1 year. As we've discussed in the past, the time for our customers to negotiate a contract with an industrial gas provider, installing a hydrogen system can take 1 year or more. The IGC, our key customers, now have contracts that can be used as a model for future deployments. This should reduce the cycle time as witnessed by the Mercedes installation. Our experience has been that our large customers are reluctant to place additional orders until the entire process has been completed and used to operate for a quarter. An example is P&G, who placed orders for 3 sites last year, which are now only coming online, about 6 months later than originally projected. Number two, many of our customers, about 50%, prefer to lease our products. With the inclusion of the 1603 grant program, we had to find additional leasing partners that could leverage our present tax credits. We have a new partner as of late June who's been offering attracting leasing packages to our customers. Number three, we also experienced a significant quality issue that had slowed deployments. This problem was caused by an underrated O-ring in our hydrogen fueling system. The supplier of the component took full responsibility for this error. You would say ship [ph] with the O-ring are being upgraded with appropriate components, which impacted about 2 dozen customer sites. While an actual failure was experienced at one site, we proactively addressed the issue. Our customers appreciate our preemptive approach to resolving the issue, and in the long run, I believe our response will enhance our reputation with our existing and future customers. I would also like to highlight that none of our customers' operations were impacted by this issue. The slow order flow in some deployments pushed into 2013 has negatively impacted our projections for the year. We have $3.7 million of orders pushed from 2012 delivery to 2013 delivery. Consequently, we're changing the guidance: number one, product and service revenue to be between USD 30 million to USD 35 million; two, product and service gross margin to be between minus 5% and minus 10%; and three, EBITDAS loss to be between $17 million and $19 million. Based on our discussions with customers, we remain cautiously optimistic that bookings can still be over USD 50 million in 2012. The issues that have slowed orders have been addressed, and we are vigorously pursuing deals in the second half of the year with the sales funnel that -- valued over $120 million. The customers who are approximately 90% of these deals are for new construction sites or large facilities. These are opportunities where we have been successful in the past. For example, at new battery construction sites, where we have actively engaged customers, we have won about 60% of these sites. Similarly at large facilities, where we have had serious negotiations with customers, approximately 50% have been wins. We are convinced that our business model is sound, that we are pursuing the right customers and opportunities. And with the continued improvement in reducing our product costs, profitability is within reach. Time-to-orders have been our challenge, and closing large deals remain our primary focus. I'd like now to turn the discussion over to Gerry.
Gerald A. Anderson: Thank you, Andy, and good morning, everyone. For our second quarter of 2012, our product and service revenue was $7.2 million, representing a 175%, or $4.6 million increase over the prior-year second quarter. While the 388 units shipped in the quarter is the second highest quarterly total in Plug's history, we had expected it to be over 500 units. Timing delays, associated with one customer site readiness, pushed over 250 units into our third quarter. To further comment on the impact of timing delays, we have $3.7 million of units in our backlog for 2 sites that we had projected to ship in quarter 4 of this year that will now be 2013 shipments. Again, due to customer site readiness. As Andy has already mentioned, this is a contributing factor to our reduced revenue guidance for the year. An important point to make here is that we have a timing impact only, not a loss of revenue opportunity due to cancellations. In addition to the product and service revenue recognized during the quarter, we ended quarter 2 with a total of $7.1 million in deferred revenue on our balance sheet, which pertains to the value of deliverables, such as extended warranties, not yet completed on various deals. Our earnings press release provides a reconciliation table of gross margin, taking into effect these timing issues on a revenue recognition, and the topic is also more thoroughly discussed in our SEC filings. R&D contract revenue for the quarter was $458,000, a decrease of $1.1 million from the prior-year quarter. The majority of our focus and efforts, now and going forward, are on our commercial sales activities, so, as noted last quarter, we expect our R&D contract revenue to be in the range of $2 million for the full-year. Looking at cost of revenue for the quarter cost of product and service revenue was $8.6 million, resulting in a reported 20% negative gross margin. Consistent with what we noted in our first quarter call, low shipment volumes adversely impacted our gross margins due to both under absorption of manufacturing overhead and direct labor utilization. Higher material cost on our products was also a factor in the quarter, which we expect to see improve going forward, as virtually all shipments now are based on our lower-cost platforms. To further Andy's comments on our improving product margins and lower material cost, I would refer you to the reconciliation of gross margin table in our earnings press release. When adjusted for the deferred revenue impacts, we have improved our margins by 44.3 percentage points year-over-year through June 30. As we continue to scale the business, we remain confident that we can achieve 20-percent plus gross margins once we attain annual revenues of $70 million to $80 million. However, with our reduced expectation for shipment volumes this year, meaning fewer units shipped off of new platforms and fewer units to absorb fixed overhead, we are expecting full-year product and service gross margins to be in the minus 5% to minus 10% range. Our cost of R&D contract revenue for the quarter was $833,000, resulting in an 82% negative gross margin. The majority of our remaining R&D contracts are 50-50 cost share arrangements, so we do expect similar margin results throughout the remainder of the year. Our operating expenses for the quarter totaled $5.7 million, and were comprised of research and development expenses at $1.6 million; selling, general and administrative expenses at $3.6 million; and amortization expenses at $573,000. As we discussed in our last call, we expect our total operating expense run rate to remain fairly consistent quarter-to-quarter for the year, and it has, indeed, held out about the $5.7 million quarter level for the first 2 quarters. Our net loss for the quarter ended June 30, 2012 was $6.5 million or $0.17 per share on a basic and diluted basis as reported. Weighted average shares outstanding for the quarter were $37.9 million, and EBITDAS loss for the quarter was $6 million. Net cash used in operating activities for the quarter was $4.9 million. At the end of the quarter, the company had $15.9 million in cash, cash equivalents and available for sale securities, and $25.5 million in working capital. Additionally, the company had availability of the full $15 million on its revolving line of credit with Silicon Valley Bank. We would now like to open the call to any questions.
Operator: [Operator Instructions] Our first question comes from Philip Shen of Roth Capital Partners.
Philip Shen - Roth Capital Partners, LLC, Research Division: I wanted to explore the guidance a little bit more, if we could. You guys talked about the slower-than-expected order flows and customer deployment delays. To what degree is $3 natural gas impacting you guys or your customers? Talk to us about the value proposition. Is it still resonating with customers? And -- well I have some more, but try to address those first, and I'll come back.
Andrew Marsh: So Phil, I would say that the low price of natural gas positively impacts our value proposition because the price of natural gas and the variable cost of hydrogen are closely tied together to the source of hydrogen for most deployments in North America, the basic source is natural gas. When I look at the value proposition, I would say yes, it is resonating. And as I've mentioned, we have a rather large funnel. And I gave a number of $120 million. And, Phil, the $120 million is not all the activity we're pursuing, but deals in which we have developed are far along in the sales process with our customers where we're going through the details of the value proposition. What we found is that when we review the history of our deals and who we're dealing with today, that if we're dealing with a facility where a battery room has to be constructed, either new construction or a site where there's a conversion from LPG to electric trucks, which is an industry trend, we have won 60% of those deals in which there have been serious negotiations, and we expect that will continue. We've also have won sites in -- which are large users of hydrogen, which are over 200 kilograms a day. And we've won about 50% of those deals historically, and we don't see a change in that trend. So if you look at that $120 million funnel, about 90% of those deals are associated with either new construction of battery rooms or a very large facility. And about $40 million of that is associated with facilities that require new battery rooms. About $65 million of that is associated with large operations. So we're pursuing the right deals. I believe we're having the right engagement to customers. I think we've had a few factors which have slowed us down in the first half. But we expect a -- and when I talk to the sales team, we expect a very strong second half, and have had discussions with our 4 or 5 primary large customers which indicate that they have plans to place significant orders with us.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. That's good. You mentioned in your prepared remarks that there are very few cancellations in spite of the production guidance, essentially it's a timing issue. Can you actually quantify the degree of cancellations? I mean, can you say that there is 0? Or just help us understand the degree, if any, of cancellations.
Andrew Marsh: I'm going to let Gerry take the numbers, but we've never had a customer cancel a site. I think any number Gerry will provide you here is they may have changed their mix at the site and reduced the dollar value at that site. But Gerry, go ahead.
Gerald A. Anderson: Right. So, Phil, what I said on the call was that the change in revenue guidance was due to a timing delay of moving shipments into 2013, not due to any cancellations. As Andy has mentioned, we have not had any cancellations. When you look at our backlog today, which is about $28.6 million, roughly the same backlog that we had in the first quarter, 2 large accounts in that backlog shifted from 2012 to 2013, and one of our large bookings that we completed in the second quarter is also a 2013 expected delivery.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. And just to confirm, you said your backlog is $28.6 million?
Gerald A. Anderson: That's correct.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. At one point you guys had a unit shipping guidance of 2,300 units for 2012. If -- on the low-end of your guidance range, I think you've produced revenues from $40 million down to $30 million. Commensurately, surely you've reduced -- can we think about unit shipments as being, kind of close to, like, 1,700, maybe 1,800 for the year? Is that a good way of thinking about it?
Andrew Marsh: Yes. That's in the ballpark, Phil. We look at about 1,600 to 1,800 units now, this year, targeted for shipment.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. And give us some color on 2013, what are -- especially with the shift and the large sales funnel, what are your thoughts on either unit volumes or revenues for 2013?
Gerald A. Anderson: I think, Phil, that -- I think the key to that will be the bookings in the second half of the year. If we achieve $40 million of bookings, I would expect that our revenues would be between that $70 million to $80 million level in revenue next year. But the key onto us, when it comes to projections, is that, for next year, is the flow of orders in the second half.
Philip Shen - Roth Capital Partners, LLC, Research Division: And, Gerry, just remind me again, what were your bookings in Q2?
Gerald A. Anderson: Our new bookings for quarter 2 is about $6.5 million. And, year-to-date, as we speak today, it's about $9.2 million.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. The other rationale that you guys had for the slowdown has been -- or was on -- due to the high mix of leasing purchases, and to alleviate that situation, you found a new leasing partner. Can you tell us who your new leasing partner is?
Gerald A. Anderson: We're using Northfield Capital, out of Chicago area, and Northfield has funding sources that actually have the tax appetite to utilize the tax credit. Our previous partner, Somerset, was utilizing the 1603 grant-in-lieu of credit. They don't have the appetite to use the actual tax credit itself. So we need to line up additional funding sources to be able to absorb that credit in these deals.
Philip Shen - Roth Capital Partners, LLC, Research Division: Have you stopped working with Somerset, or are you working with both?
Gerald A. Anderson: No, we have not stopped working with Somerset. Again, right now we're just trying to expand our availability of financing offerings to our customer base so that we can get these deals done.
Philip Shen - Roth Capital Partners, LLC, Research Division: Great. About your backlog, what is your mix of greenfield versus brownfield in your backlog?
Andrew Marsh: I don't -- I actually don't know. Do you know, Gerry?
Gerald A. Anderson: If I look at the backlog right now, what I see -- I know there's 3 that are greenfields, but I don't have the actual totals.
Andrew Marsh: So, Phil, when I think about it, I'm going to -- I think that the key word is facilities requiring new battery rooms. And, Gerry, why don't you hand that over to me. I'll take a quick look. And their facilities, for example, some of the P&G sites, they already use LPG in their converting to fuel cells. And if -- they -- they're -- they were looking to trend towards electric, and because they were looking at -- go to electric trucks, it forces them to -- it encourages them to move the fuel cells because they would have to construct a battery room. But when I use that expanded definition, it would be about 50% of the backlog.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. Good. Let's see. I think that might do it for now. I think you guys talked about R&D revenue still being about $2 million for 2012, right?
Gerald A. Anderson: That's correct, Phil.
Operator: [Operator Instructions] Our next question comes from Mike Cikos of Sidoti & Company.
Michael Cikos - Sidoti & Company, LLC: I had a question for you regarding the -- I think you were talking about the new units that you would be shipping. And you said that there's as much as a 30% savings in material cost with these new -- these new units that you'll be shipping. And then you had mentioned something about a ratio on the fourth quarter. I think it was material to product price. Can you just restate that? I'm sorry, I missed it.
Andrew Marsh: No problem, Mike. So in the fourth quarter, we expect -- and to me, this is the important ratio, Mike, because more than 80% of our total variable costs is associated with materials. And 6 -- that number is 65% for quarter 4, and will be below 60% in 2013. And when I model a $75 million business, Mike, we'll be EBITDAS breakeven around at 58% material-to-price.
Michael Cikos - Sidoti & Company, LLC: And you said that was a 58% ratio?
Andrew Marsh: Right. At that number, we will be 58% material-to-price, now at approximately $18 million to $19 million of revenue per quarter, this company will be EBITDAS positive.
Michael Cikos - Sidoti & Company, LLC: Okay. And that was -- I guess, that was my other question then. You're saying profitability at $78 million -- $70 million to $80 million in sales on an annual base. That's on an EBITDAS basis then?
Andrew Marsh: That is on an EBITDAS basis.
Gerald A. Anderson: Correct.
Michael Cikos - Sidoti & Company, LLC: Okay. Other question I had for you was regarding the Mercedes order. You had said this is the quickest cycle time you've ever seen based on their ability to get the hydrogen fueling station in place. And I wanted to know what your thoughts were if you thought that was doable again, if you see the cycle time starting to slow down and why? Either way.
Andrew Marsh: I think a key item there, Mike, is what we're seeing is that industrial gas companies are purchasing components for inventory. Item number one, so that when they receive an order, there are key items like the liquid tank, light compressors, which were 2 of the long lead time items, that some of the industrial gas companies are starting to inventory these items. Item two, is that the contracts between the industrial gas companies and our customers are relatively complicated. And I think that: one, I think the industrial gas companies have been simplifying the contracts with our customers; and two, with some of our large customers, we -- they have established contracts now in place, so that it's really just kind of a rubber stamp from facility to facility. In the Mercedes case, I think the gas companies may had been -- one, they had material, which is really critical, and two, they were, I think, more flexible in their terms.
Michael Cikos - Sidoti & Company, LLC: Okay. Can you also comment on the quality issue that you had mentioned with the hydrogen cooling system?
Andrew Marsh: Yes. So it's actually the hydrogen fueling system. And hydrogen is a -- one has to be very cautious with hydrogen. It is a flammable gas. And we had at one customer site, a O-ring that released during operation. And this O-ring release caused a release of hydrogen, and the hydrogen did ignite, but it did not cause any damage to the facility or -- but we saw the events, worked diligently with the OEM forklift truck provider, with outside resources. After the extensive investigation, we found in the system that one of our suppliers used an O-ring rated for 250 bar instead of 350 bar. That was a serious issue. We -- once we understood the root cause, we actually reduced the fueling pressure at all our customers' stations down to 250 bar, and we have been systematically upgrading all systems with the appropriate O-ring to make sure an event like this never happens again. This was expected to be a once in every 100,000-year type event, it obviously happened earlier, and we took it very serious. And I think that our customers appreciate the fact that even though we saw this event only once, we went out and told all our customers, we explained what happened, and we explained what needed to be done. And in general, like many events like this, it gives people a time for pause. But I think in the end this has really enhanced our reputation as a company you can count on, when you're doing business with, to do the right thing.
Michael Cikos - Sidoti & Company, LLC: So just to make sure I understand correctly, these O-rings were set at 250 bars instead of the 350?
Andrew Marsh: Well it's -- it was using the wrong -- it was the wrong material, Mike. So the material itself was material rated for 250 bar and not rated for 350 bar, and our operation is 350 bar, and it's an O-ring which is an component that we purchased, and that component was rated for 350 bar. The company we are buying it from made a design mistake, and used the wrong part.
Michael Cikos - Sidoti & Company, LLC: Okay. And are you still working with that supplier now?
Andrew Marsh: We are. I mean -- again, I think they stood up. They work closely with us. They made a design error. They're a large company, I'm not going to name their name, but they have revenue over $500 million, so it's not a small company, a lot of capability, understood the issue that they had, worked with us to fix it, and we're convinced that the process -- that they put in the process in place to make sure that this never happens again.
Michael Cikos - Sidoti & Company, LLC: Just a couple more questions on that point, and we'll move on. But the first question was, how many customers and/or sites did this actually impact?
Andrew Marsh: Well, we went out and reduced the pressure at approximately 2 dozen sites, and probably impacted about 12 to 15 customers. We did tell every customer. There were some customers who were not impacted by it, but we did go out and tell every customer about the event.
Michael Cikos - Sidoti & Company, LLC: Okay. And at this point, have all those customers or all the sites had those O-rings actually changed?
Andrew Marsh: They will be completed approximately by the end of September. Might be a few that linger into October.
Michael Cikos - Sidoti & Company, LLC: Okay. Okay. Other question I had for you was regarding the guidance. I'm just a little bit confused. At the end of the first quarter, we took total number of units you projected to ship down from the 2,300 over the course of 2012, from 2,300 down to 1,600. And now we're saying that the total number of units shipped is probably somewhere in ballpark of 1,600 to 1,800, even though we're taking our revenue guidance down by about $10 million. And I just wanted to know why the revenue guidance is going down but the unit shipment is actually staying the same.
Gerald A. Anderson: Actually, we did not change our guidance in quarter 1. So I think we reiterated at that point the 2,300 units and the $40 million of revenue. Because at that time, we still fully expected to ship all the units that we had targeted in our backlog. Since that time, we've had 2 fairly major deals pushed into 2013. And as Andy talked about, our order flow rate, which we had expected to be around $20 million for the first half of the year, came in at about $9.2 million.
Andrew Marsh: And Mike, if you want to talk about that more offline, we'd be happy. I don't know how we had the confusion, but we'll be happy to work with you to straighten that out.
Operator: Our next question is a follow up from Philip Shen of Roth Capital Partners.
Philip Shen - Roth Capital Partners, LLC, Research Division: Just got a few quick follow-ups. One, in terms of pricing, are you guys seeing any pricing pressure at all from your customers? And what are the pricing trends that you're experiencing? And what do you expect as we go into Q3 and Q4 here?
Andrew Marsh: I would say, Phil, we have not seen any pricing pressure from our customers. When we look at the value proposition, when we look at the discussions we -- we're comfortable that the pricing that we're projecting for being profitable is between $70 million to $80 million, that the decline in price will be minimum.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. And just as a follow-up to the Mercedes question and faster cycle times, obviously that's a great thing to get the 3-month turnaround time. To what degree do you expect this type of faster turnaround time across the board? Do you expect this shorter turnaround time to impact, maybe, a marginal amount or a small percentage of your deployments going forward? Or do you expect it to actually become more of a standard with your customers, especially since many of them already have supplier contracts in place?
Andrew Marsh: I think, Phil, that 3 months is an aggressive schedule, and I think a year from now, 18 months from now, I would hope that would be more the norm. I think that, probably realistically, we're probably talking for targeting norms of 6 months instead of 9 to 12 months.
Philip Shen - Roth Capital Partners, LLC, Research Division: So you think that -- so let's say, historically, hydrogen infrastructure installations and negotiations take 9 to 12 months. Do you think it's a realistic possibility that the cycle time reductions, all-in, could get down to 6 months?
Andrew Marsh: I think that's fair, Phil.
Philip Shen - Roth Capital Partners, LLC, Research Division: Okay. That certainly is a positive.
Andrew Marsh: Yes. I would say that the work going on at the industrial gas companies and their commitment to this industry, even with our slow start this year, continues to -- they continue -- their interest levels continues to increase.
Philip Shen - Roth Capital Partners, LLC, Research Division: And about the -- a quick question about the quality issue that you experienced. What was the financial impact, or what do you expect it to be to Plug, given that it was a third-party supplier? I can imagine you have to put some resources on this to manage -- first define the root cause and then to manage the situation and communicate. But was it just an incremental cost to you? And the cost was primarily borne by the supplier? Help us understand what the financial impact was.
Gerald A. Anderson: Sure, Phil. So -- and we have not finalized in our discussions with our vendor on this, but we expect the impact to be relatively minor to Plug. The vendor has replaced all of the parts at their cost. Obviously, it's our field technicians and our people that are going to do the retrofits, but we are working with the vendor to work out a reasonable resolution to that. So the impact to Plug is minor.
Operator: It appears we have no further questions at this time. I would now like to turn the floor back to Mr. Marsh for closing comments.
Andrew Marsh: Well I'd just like to thank everyone for joining that the call today, and look forward to having more discussions with everyone in the near-term future. Thank you.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time, and thank you for your participation.